Operator: Good afternoon, everyone, and thank you for your patience. Welcome to the BioLargo 2025 Annual Report and Earnings Call. [Operator Instructions] Please note, this conference is being recorded. I will now turn the conference over to your host, Brian Loper, Investor Relations at BioLargo. Brian, the floor is yours.
Brian Loper: Great. Thank you, operator. So the 10-K has been filed and this call is being webcast and available for replay. In our remarks today, we may include statements that are considered forward-looking within the meanings of securities laws, including forward-looking statements about future results of operations, business strategies and plans, our relationships with our customers, market and potential growth opportunities. In addition, management may make additional forward-looking statements in response to your questions. Forward-looking statements are based on management's current knowledge and expectations as of today and are subject to certain risks and uncertainties and may cause the actual results to differ materially from the forward-looking statements. A detailed discussion of such risks and uncertainties are contained in our most recent Form 10-Q, 10-K, Form 8-K and other reports filed with the SEC. The company undertakes no obligation to update any forward-looking statements. And with that, I now hand the call over to BioLargo's Chief Executive Officer, Dennis Calvert.
Dennis Calvert: Brian, thank you very much. Good morning, everyone. We're excited to present BioLargo's 2025 Annual Report Earnings Call. We're at a time of pivotal transition, moving decisively from development into commercialization across our key technologies. We'll detail how our strategic focus has positioned us for significant growth and value creation, and we're eager to share the progress we've made and our vision for the future. Before we dive into the details, take a moment to review our safe harbor statement. Brian covered that quite well. This presentation does contain forward-looking statements, and the actual results may differ. We encourage you to always look at our periodic filings with our 10-K and our quarterly reports to get a comprehensive understanding of the risks and uncertainties and we believe in transparent communication with our investors and this statement underscores that commitment. Now let's look at the concrete actions that we took in 2025 and up to today. Our journey is marked by disciplined execution, where we've delivered and are delivering on key commitments. We've successfully installed our AEC technology at the municipal site, launched Clyra Medical commercially and presented exceptional clinical data for our ViaCLYR products. We also have advanced critical battery factory partnerships, secured third-party validation of the Cellinity Battery technology, and we've taken decisive action to protect our intellectual property. Our engineers have continued to grow their services business while continuing to support our various technologies through their validation and commercialization journey. This disciplined approach ensures a strong technical and commercial foundation for our future growth. This focused execution has significantly strengthened our diverse portfolio, which we'll explore next. Our portfolio contains 4 distinct platforms addressing massive market opportunities through one-of-a-kind technical solutions that have each been validated for their performance. Each platform, Clyra Medical, Cellinity Battery, AEC water treatment and ONM Environmental targets very large commercial markets. We hold a significant stake in the ownership of these companies ranging from 49% to 100%, in these -- what we consider to be high potential ventures. In addition, BioLargo receives a 6% royalty on sales helping ensure a consistent revenue stream for the corporate office as these businesses grow. The structure also creates an attractive investment framework for both BioLargo and our investment partners to participate directly in the growth of our subsidiaries. The model helps us diversify our risk from things that are simply out of our control, leverage our core competencies, attract diversified investors and also help future liquidity events for each business and its investors including BioLargo with the goal of rewarding our shareholders and our co-investors. This diversified approach allows us to sustain an impressive team of scientists, engineers and business development professionals while advancing each business unit through the commercialization process with a highly specialized team members for specific industries. Clyra Medical is now entering its commercial stage. We want to do a cheer. It's a great moment of excitement. It's been a long time coming. It's very exciting. It's a significant milestone after years of dedicated development. It's ViaCLYR product, a wound irrigation solution, which is FDA 510(k) cleared and delivers a superior antimicrobial kill rate and sustained efficacy, making it both safe and effective for all wound types. We've secured an exclusive distribution agreement with Advanced Medical -- Advanced Solution, providing access to thousands of hospitals and clinics focused on wounds and burn care. Our first commercial stocking order has already been shipped and paid for and a compelling -- and the compelling clinical data that was recently presented at the 48th Annual Boswick Symposium, the world's leading wound and burn symposium. It's a big deal. This commercial momentum is further supported by recent infusion of capital of $1.7 million all in the last few weeks, actually, positioning Clyra for substantial revenue growth. As you may know, we also have a major industry strategic distributor preparing to launch products in the near future. We're extremely excited about this development and we look forward to sharing more details, including their identity and the innovative products involved, when the time is right, which is now in the final stages of preparation. We can see the starting gate and we've done quite a bit of preparation for this moment. It's also worth noting that direct investments into Clyra over the past 14 months which concludes 2025 up to present, now total about $7.5 million. BioLargo has invested about $1.7 million approximately over the last 2 years. In addition, Clyra's CEO, Steve Harrison, and I, Dennis, as the Chairman of Clyra Medical, have also invested from our personal estates approximately $320,000. We're going to dig a little deeper into the clinical evidence next. Our clinical data for Clyra Medical speaks volumes about ViaCLYR's effectiveness. For me, personally, this is a full circle story for BioLargo. I've had the honor to work with Ken Code, the original inventor who first shared with me the story of his discovery and his belief that it would impact the world for good. It was the origin story of our beginning and to see it come full circle is extraordinarily gratifying. Our work with the FDA help me understand just how special the technology is. As we were told by the reviewers, they've never seen results like we had proven in the data submissions. Now we have leading professionals in the field -- experts testified to their peers about the remarkable results is simply amazing and extraordinarily gratifying. To note that our work can now be showcased around the world, to help professionals avoid infections and assist in healing wounds is just awesome. We believe the combination of claims that Clyra can now present to the field to the market are unmatched. The strong clinical validation with more in the works on a continual basis, supports our commercial launch and future product expansion. We believe that our Clyra products can become known as the new standard of care for infection control and wound care around the world. Next, we'll talk about the progress in solving the PFAS problem. Our first municipal deployment of our AEC system in Lake Stockholm, New Jersey is up and running, and it validates our commercial readiness. The AEC is better than other technologies. It treats long and short chain as well as ultra short chain molecules, all in the PFAS family, and it generates at the same time, minimal waste, which is crucial for municipalities. The AEC at Lake Stockholm is now under a 12-month monitoring program with the U.S. EPA and the department -- the New Jersey Department of Environmental Protection. We're also advancing industrial pilots of key partnerships. We're engaged in active discussions with major partners around the world, and we have an extraordinarily robust pipeline of projects in consideration. Moving on, we're going to talk about the Cellinity Battery. The Cellinity Battery represents a superior solution for the $1 trillion dollar energy storage market, which is expected to grow 6x to 7x its current size over the next 15 years. This sector is widely considered one of the most significant growth opportunities in the energy industry as batteries are critical for data center development, grid resiliency and renewable energy storage. The performance metrics of Cellinity Battery are unmatched. The world needs better batteries. Lithium ion and even the emerging field of sodium ion have significant drawbacks. Our liquid sodium technology offers superior energy density in a 20-year life cycle. Crucially, it has no thermal runaway risk and uses earth-abundant materials, no rare earth elements, allowing to manufacture domestically in almost any region in the world. Our business model focuses on selling factories through joint venture structures on simply selling batteries. We've executed 4 MOUs and are actively negotiating joint venture partnerships around the world. Each gigafactory is forecasted to generate approximately $80 million to $90 million in annual net operating income based on a total capital investment of approximately $170 million. In that structure, we're seeking a minority interest and a royalty, again, in line with our model. It's also important to understand the significant incentives available in this sector, including energy credits, workforce development incentives, economic development incentives, a host of financial incentives to encourage the development of just this sort of strategy. These incentives create a compelling opportunity to develop joint venture project financed ventures globally, and we're excited to advance the prospects into definitive agreements. Now let's turn to ONM Environmental and the Pooph situation. Regarding ONM Environmental, our Pooph proprietary technology is proven at scale. The Pooph brand was built on our IP and achieved national recognition with over 60,000 positive Amazon reviews and impressive top line revenue, and it validated our business model. This effort validated the commercial power of the underlying technology. We took decisive actions in September 2025 revoking Pooph's license after they failed to pay $3.85 million owed. In November, we filed a federal lawsuit for patent infringement and false advertising and breach of contract. We're actively seeking new partners for pet products, and we're also active in these business dealings to hope to secure the right partner soon to see our technology find its rightful place in the market, eliminating troublesome odors, while remaining safe for people, pets in the planet. We believe this will reposition well, and we'll find commercial success again. So please stay tuned. I'm going to let Charlie Dargan, who's joined us, Charles, take this section. Charlie, you're up.
Dennis Calvert: Thanks so much, Dennis. I appreciate it. And thank you, listeners and stakeholders, we at BioLargo, really do appreciate your support. I won't pull any punches. This was -- 2025 was a very difficult year for us. But I do want to give you some pointers and some proper context as to actually what happened. Now the raw numbers, which you see where our revenues declined to $7.8 million. Our loss was $15.2 million and our stockholders' equity declined to $1.5 million. But I do want to point out that throughout the process, throughout the year, we maintained our cash position, and you can see, we ended up at $3.9 million, which we continued. And we were liquid for the entire year, access to capital markets, other operations. So we were liquid and in a good cash position. So the big gorilla in here, and Dennis just mentioned it, of course, is the termination of the Pooph licensing agreement. That did create the majority of the decline in the revenue and of course, the increase in our loss. And just to point out because sometimes people miss it, but you'll see that we booked a credit loss, which is on top of the reduction in revenue of $3.9 million, so significant. I think on the other side, and this is a good thing. We did spend more or Clyra spent more but that is an increase in its staffing and development costs. And it's because it's prepping for this upcoming national product launch with a leading -- an industry-leading distributor, and Dennis mentioned that as well. We're very excited about that, and it's been a long time coming. I think the other thing I'd like to point out, and again, people kind of run over it is our service revenues because we've always -- we talked very heavily on our products. Our service revenue pretty much doubled. It went from $1.0 million -- $1 million in 2024 to approximately $2 million in 2025. And that just demonstrates not just with our engineering services, but our other services and products that our core business has organic growth. And I'd like to conclude and circle back to remind everyone that we maintained a strong cash position. We avoided having to raise any type of toxic debt and we maintained our liquidity throughout last year. I think that's part of just the discipline in our financial and our operational management. So what we've done is we've laid a solid foundation and it positions us very well for the commercialization efforts this year and in the future years. Dennis, I'm going to turn it back to you.
Dennis Calvert: Thank you. Thank you very much, Charlie Excellent. So building on our disciplined execution in 2025 and to present, our current outlook for the future points to a significant inflection point for BioLargo. We anticipate multiple catalysts converging across the portfolio, driving meaningful revenue and market validation. Clyra Medical will see its commercial rollout accelerate with ViaCLYR, reaching a national network and an expanded product line. For the AEC water treatment, we expect critical validation data from Stockholm that could establish our technologies and industry standard. Our work with EPA will continue. It's important that validation really expands our presence throughout the world. We also have growing strategic alliances in development. Our Cellinity Battery is poised to secure its first definitive joint venture contract. We're working hard on that. Transitioning from MOUs to concrete factory engineering. Recall that in the business model, when we start, we make money. Finally, ONM Environmental is expected to announce new partnerships that will further expand our reach. Together, this convergence of milestones positions 2026 as a transformative year for BioLargo. So why now, right? Why invest in BioLargo now? We used the words off and we say we paid a price to be here. It's a pretty steep price and it's certainly tested everyone's patience. We've done the work. That's a common theme you'll hear come out of my mouth often. How do you get this done? You have to do the work. You have to do "all the work" to reach the remarkably good position we're in today, poised for massive success in multiple markets. We believe there is a substantial valuation gap between our current market capitalization in this potential of the portfolio. At this moment, however, we have significant benefit from powerful structural tailwinds. Increasing PFAS regulation combined with a level of dissatisfaction with old technologies like carbon. They have experience now. They're experiencing the weaknesses of the carbon solution in the current market. And even current installations with carbon are looking for a change out. It's remarkable. There's a growing demand for energy storage driven primarily by the AI boom, energy boom, and really widespread dissatisfaction with some outdated technology. In the medical field, old technologies that have been used to control infection and wound care, are often harsh and ineffective, short-acting. They don't have the same claims. There's also, of course, the persistent rise in hospital-acquired infections that now claim more than 100,000 lives in America alone. The timing for our solutions coming to market as the world is looking for better technical solutions to some of the most pressing issues like these creates a perfect storm. What's truly changed about the company is our transition from development to commercialization. There's examples all around us. Clyra Medical secured its first commercial revenue. The AEC has achieved its first municipal installation. Our battery technology is technically derisked. It's been reviewed by third parties and now has joint venture partnerships under development and demand for our solution in the world is an all-time high. Equally important, we have the basic capital foundation and structure needed to expand with partners, customers and maybe most importantly, non-dilutive capital providers. The recent clear raise in our strong cash position at this stage, especially in light of some of the adversity we had to overcome in the last 6 months is remarkable. As always, we remain committed to transparent communication, disciplined capital deployment and focused execution on near-term revenue milestones. The foundation of BioLargo is solid and unwavering, impact-driven leadership, a great team of highly trained professionals, best-in-class technologies and a capital conserving strategy. As we always say, we're on a mission. We believe our investments and they are investments, investments of money, time, energy, are well positioned to deliver both meaningful impact for a greater good but financial returns of great significance. So with that, I'm going to turn this back over to Brian for the Q&A.
Brian Loper: All right. Thank you, Dennis. Thank you, Charles. On the financial front, do you guys expect to renew the Lincoln Park agreement or establish any new ATM agreement?
Dennis Calvert: Yes. It's a good question. Yes, as referenced in our 10-K, the Lincoln Park agreement has expired on its terms and at this time, we have no intent to renew it. We do believe, however, the safety net that a facility like that can provide for the company is critical. It's critical not only in time of necessity but also as a tool to provide comfort for significant investment partners who are really looking for that kind of stability as we enter into dramatic commercialization. So yes, we do intend on pursuing that strategy, and we have commitments in place that we will continue to pursue and bring to conclusion and Lincoln Park is no longer providing that service for the company.
Brian Loper: All right. Switching gears, why is the U.S. EPA in New Jersey monitoring the Lake Stockholm installation?
Dennis Calvert: So there's a -- yes, it's a good question. We think it's really great, by the way. So I just want to make sure everybody got the tone of that. The federal -- so recall, the federal -- last year, we had a government shutdown, and we had a reorganization, if you will, of all these agencies. So the fact that the EPA has really focused in on our AEC is just awesome. The idea that the regulator itself is participating in the proving up of the technology and the validation work is extraordinarily valuable. So we're pleased to have them. As a normal process when new technology comes to market, you often secure what's called a temporary use permit. What that means is as long as you continue monitoring, they'll let you to install your technology in the field and go to work serving clean water to the constituents and the customers in the local market. So this is all normal. Using the state and the federal is awesome, really good for us. And as we've mentioned sometime before, there's even indication that the EPA would like to move forward with additional testing for validation purposes over an extended period of time in which they would actually purchase through the requisition equipment and tools to do that work. So it's all really good. And so we're thankful to have EPA on side with us to validate this technology. If you think about its importance in the field, the first installation is not a huge installation, but it is of reasonable scale and it demonstrates efficacy and its commercial viability. And there's a huge market for the smaller installations. Now we are moving upstream and what's amazing in our journey is to now see the very, very large customers who are looking at our solution as a scaled design. And so that does present supply chain and all sorts of work to do to make sure that we can compete at that level. It drives us to want to form alliances with larger companies that already have supply chain and scaled engineering and implementation in place. So I think that's a real driver as we look at those relationships to be able to compete at the very highest level. And again, we used to say the project should be $0.5 million to maybe $2.5 million. And we thought the big ones would be $5 million to $10 million, and we're now involved in bidding and quoting and scaling for projects in the $20 million and $25-plus million range. So we believe our technology will find a significant home in the market, and we believe it's a really great opportunity to find corporate alliances of significance to not only assist us in the growth that's required to support those customers, but the confidence and peer mass that can go literally all over the world. So we're pretty excited.
Brian Loper: Great. Great. And then any insight as to why Garratt-Callahan has started actively promoting the AEC as the best PFAS solution?
Dennis Calvert: Yes. I think it's a really great move. We've always had Garratt-Callahan in great favor. We're anxious to find success with our AROS system for sure. I know that's been a subject to frustration for everyone, including Garratt-Callahan, I'm sure, right? Because everybody wants to see that technology kind of sway the market. In the meantime, because of our work with them, there's a growing sense of comfort and confidence, which is all very good. And so to me, it's a little bit speculative, but I would chalk that up to real simple. Our AEC has commercial validation now. It has a demonstration site now. It has relationships with the regulators now. And the industry is evolving to more rapid adoption because of regulatory advancements. And the trend of that is not going to change, and everybody now accepts it as the future. And so my hunch is Garratt-Callahan smells business opportunity just like a lot of other people, which is really awesome. So I think that's the way to think about it.
Brian Loper: Great. So let's talk more about Clyra. So Dr. Gitterle, recently did a presentation. Seems like a great guy. But is there a recording to watch of that presentation?
Dennis Calvert: No. That venue is not our venue. So that's a production of the conference, and that's -- and it's not available for rebroadcast. We do have additional KOLs and Dr. Gitterle also preparing some of that work and presentation materials and also interviews. So there's going to be a number of tools that will come available for that information to be viewed by everyone in the public. And so standby for that to happen. We're also rededicating ourselves to more social media and really distribution of that kind of content. So it's not that it's a secret. It's that -- it's in production and it's moving fast, and we're really busy, but it's coming. So there you go.
Brian Loper: Great. And then how many insiders invested into Clyra?
Dennis Calvert: Well, let's see, I think we've got -- let's see insiders is funny. So we have employees that are not necessarily insiders, so because of their corporate position. But I think if you said -- if I say it a little differently, people that are closely tied to ongoing work with the company. I think there's 4 or 5 investors who come in. So something like that. Maybe more, but, yes, it's nice. For all reasons, it's good because our people do see it, and it's also good for outside investors to see it. But really, I would comment for everybody. We've always known the significance of the technology involved in the Clyra asset, the whole plan. We've just always known it. And it's -- when -- in the darkest hours when you're looking at the abyss charting your course, you're reminded of the significant impact that that's going to make all over the world. And it's kind of like this driving passion of impact that keeps us going to see it now come full circle is huge and see the clarity of the commercial strategy with all the tools being put in place. Steve Harrison has done a remarkable job, and I've got to commend his entire team. He's grown quite a professional staff. They're highly trained in the field. It's not inexpensive. Takes a lot of money. I always say in the medical field for med device like this, especially something going into the surgical suite, being used for inside the body, right, I'm sure we know that. It's a pretty technical thing and everything is expensive. Everything. Like tests and materials and production. So we've been able to capitalize that in a pretty effective way. That's also remarkable, a testimony to the technology and the team and our strategy, the way we played this out. So having co-investors for insiders is awesome. We're thankful.
Brian Loper: Yes, absolutely. And how about so far this year, how much is Clyra rate?
Dennis Calvert: I think we just reported in the deck, $1.7 million in the last -- basically last month for the post-effective subsequent events as disclosures in the K. We've got commitments for more cash, but that's not reportable until it's in the door. So we'll keep you posted.
Brian Loper: All right. A lot of momentum with Clyra. That's what I'm hearing.
Dennis Calvert: Yes.
Brian Loper: Excellent. Well, that concludes all the questions we have from our investors. Thank you very much, Dennis.
Dennis Calvert: Yes, I'll wrap it up here real quick. I want to thank everybody for the support of course. I know it's tested the patient level. But rest assured that we are steadfast and sure, and we're anxious to get some of these technologies repositioned, and we're looking forward to a great year. So thank you very much. We look forward to talking to you soon.
Operator: Thank you very much. This does conclude today's conference. You may disconnect your lines at this time. We thank you for your participation.